Federico Castillo Martinez: Good afternoon, everyone. Thank you for joining us for today's live webcast of our 2023 full year results. Your host will be Dolf van den Brink, our CEO; and Harold van den Broek, our CFO. Following the presentation, we will be happy to take your questions. The presentation includes forward-looking statements and expectations based on management's current views and involve known and unknown risks and uncertainties, and it is possible that the actual results may differ materially. For more information, please refer to the disclaimer on the first page of this presentation. I'll now turn the call over to Dolf.
Dolf van den Brink: Thank you, Federico, and welcome, everyone. Before I start my presentation, I would like to acknowledge all our people across our business for their resilience and progress made on EverGreen. 2023 proved to be a challenging year, and I'm proud of our people and how we have navigated the year. So let's start with a brief reminder of our strategy, the multiyear transformation of EverGreen. Our ambition is to deliver superior balance growth to consistently create long-term value, and we do this with a clear strategic focus on 5 priorities: shaping the future of beer and beyond, digitizing our business to become the best connected brewer, building a continuous productivity muscle via a cost-conscious culture, step-up in sustainability, responsibility and unlock the full potential of our people and our network. These priorities propel our growth algorithm with at the top, first and foremost, growth. We are after superior balanced growth, both volume and value growth. Growth enables gains in productivity and fuels resources for investing in further growth to improve profitability. Harold and I will cover some of the progress we have achieved in '23 in this regard. The balance we aim to achieve is embodied in our green diamonds. -- growth, balance between volume and value, continuous productivity, better capital efficiency and our ambitions on sustainability and responsibility. So let's dive in and take a close look at the key highlights. Net revenue beia grew 5.5% organically versus last year and net revenue per hectoliter beia grew 10.8%, while total beer volume declined by 4.7%. Our volume momentum was affected by the strong pricing required to offset very high input energy cost inflation and the volatile macroeconomic conditions in some key markets. The Heineken brand delivered another year of sustained volume growth, up by 3.4%, excluding Russia. Operating profit beia grew by 1.7%, and the margin was 14.7%, down 100 basis points versus last year, reflecting a significant improvement in the second half, benefiting from a step-up in our productivity program. We recorded operating profit beia growth in 3 out of 4 regions. Net profit declined by 4.3%, impacted by higher interest and other financing expenses. So the diluted EPS ended at €4.67. Harold will cover this in more detail later. Let's have a closer look at the volume trends. This chart shows the volume organic growth rates for our beer portfolio and separately, the beer and premium beer portfolio, excluding Vietnam and Nigeria. After the full impact of our pricing actions took effect in the second quarter, we see a moderate sequential improvement quarter-by-quarter as inflationary pressures mitigate and our pricing tapers. The rate of decline in the fourth quarter was half the rate of the second quarter. The impact of a few markets has become more concentrated. In the first half year, Nigeria and Vietnam accounted for close to half of the beer volume decline. In the fourth quarter, they accounted for around 95% of the decline, and premium has been doing better in total and in the majority of our markets, even turning into volume growth in the fourth quarter outside of Vietnam and Nigeria. A key point for us is that in Q4, more than half of our markets have returned to volume growth, a significant improvement from the trends in Q2 when just over a quarter group volume. And that's all throughout the year, we have held or gained share in more than half of our markets with improving trends at the year-end. Now let me take you through the performance in our regions. First, Africa and Middle East. Net revenue grew organically by 11.6% as the decline in beer volume of 6.3% was more than offset by a strong price/mix of 17.4%, mainly by pricing for inflation. Operating profit grew 2.8% as strong pricing and productivity gains offset the impact of lower volume inflation and transactional currency effects. In Nigeria, net revenue beia grew driven by pricing to offset inflationary pressures following the significant devaluation of the naira. Volume declines as consumers' purchasing power was severely affected by these developments. In this context, our premium and malt portfolios outperformed in their categories led by Desperados and Martina respectively. We also rightsized our cost base to adapt to the challenging environment. 2024 began with another large devaluation of the naira, and Harold will talk about this more. In Ethiopia, beer was up in the high teens, outperforming the industry and further strengthening our leadership position in the market. Our premium portfolio grew close to 30%, led by Heineken and Bedele Special. In South Africa, we completed the acquisition of Distell in April and have been progressing at pace with the integration of Heineken beverages to create a regional champion. In the second half, we brought our systems together and our sales teams under single route to consumer. Relative to when we announced the acquisition in '21, the current value of the business has been reduced and we recorded a noncash impairment charge in December mainly due to external factors, which Harold will explain in more detail. We are excited with our plants in South Africa going forward. Take the case of brand Heineken. It has achieved a remarkable 9% market share with only a limited range of SKUs. This month, we introduced the first Heineken returnable bottle to unlock the potential of the brand as returnable bottles represent 70% of the market in South Africa. We also see great potential for the Beyond Beer portfolio of Distell, with, in particular, Savanna and Bernini with strong momentum. On to the Americas. Net revenue grew 7.4% and beer volume was broadly stable. Price/mix grew by 8.4%, driven by pricing and the continued premiumization of our portfolio. Operating profit beia grew 6.2% as pricing and productivity initiatives more than offset inflationary pressures on cost and a step-up in marketing investments. In Mexico, beer volume was down slightly, outperforming the industry in the last year of the mixing of OXXO. Our 6 stores continued their successful expansion, closing the year with 17,000 stores. We announced a new greenfield project in the Yucatan to address the growing demand in the market. In the U.S.A., sales to retailers outperformed the market led by Heineken and Heineken Silver with encouraging results in its first year and distribution build up a rate of sale. Heineken 0.0 was the #1 nonalcoholic beer in the market by value, grew volume in the low teens in its fifth year after introduction. In Brazil, we continued our strong growth momentum. Beer volume grew by a low single digits, outperforming the market, led by Heineken and Amstel. Let's take a closer look at Brazil. Brazil is probably our best example of the EverGreen strategy in action with the fantastic momentum of these 2 brands. Heineken is the second largest brand in the market by value and #1 in the off-trade. It also became the #1 brand as measured by penetration in the entire market, maintaining the largest brand power in Brazil. We have invested in the brand in Brazil for decades, and the acceleration of the volume performance has been remarkable with a 31% compound annual growth rate since 2015. Flanking Heineken very successfully is Amstel, the leading brand in the pure malt mainstream segment. It grew by more than 30% in 2023, strengthening its leadership position within the Pure Malt Mainstream segment and reaching an important scale milestone this year of over 10 million hectoliters. So moving on to APAC. The region encountered short-term growth challenges, and we adapted to continue building our brands and organization to capture the growth as the tide turns. Net revenue declined by close to 6% as beer volume decreased by 10.4% and price/mix up 4%. Operating profit beia declined by 20%, essentially driven by Vietnam. Let me expand on the external challenges of Vietnam given their impact. A slowdown of the economy and the stricter enforcement of the zero tolerance while driving regulations impacted the beer market throughout the year, disproportionally affecting our strongholds and the premium segment. Our net revenue declined in the low 20s due to inventory destocking effects in the first half and external challenges that persisted in the second half. Although our performance is behind the market, we held our leadership position in the overall market and held share in premium, while our mainstream portfolio outperformed with [indiscernible] gaining share in the segment. We will continue to invest in the market as the competitive environment intensifies. In India, we improved in the second half, outperforming the market. Flagship brands Kingfisher reached record volume. The premium portfolio outperformed led by Kingfisher Ultra. This market is one of our long-term growth engines with increasing disposable income, favorable demographics and premiumization. In China, the Heineken brand continued its strong momentum, which I will cover next. 5 years ago, we announced our partnership with China Resources Beer with remarkable progress and results. Volume for the Heineken brand has increased by a factor of 4.5x since 2019, making China the second largest market for the brand globally, just behind Brazil. The growth is from both original and silver, with strong momentum continue this year, up more than 50% and 70%, respectively. The brand benefits from strong incremental investments in sales and marketing, increasing its brand power. This partnership is increasingly becoming an important contributor to our bottom line via the share of profits from our stake in CRB. In 2023, this was more than 5% of our total EPS beia and on top of this, royalties begin to come in. We're excited for the future in China and see plenty of headroom for further growth as we continue to build brand power, distribution and scale with CRB. Last year, we reached about 20% of the points of sale in their footprint, so plenty of headroom to grow. Now on to Europe. Net revenue grew by 6.3%, with price/mix up 11.7%, reflecting our inflation-led pricing across all markets and premiumization. Beer volume declined by 5.4% versus last year, sequentially improving into the final quarter to a 3.4% decline. Our on-trade volume remains behind the pre-pandemic levels by more than 10%, but this year, the on-trade was more resilient than the off-trade, improving our channel mix. Our premium beer portfolio outperformed the wider portfolio in the majority of markets, led by our next-generation brands, including [indiscernible] amongst others. The nonalcoholic beer and cider portfolio also outperformed and was broadly stable. Notably, operating profit beia was up by 11.9% organically, and margins improved by 33 basis points. This is a remarkable achievement given that in this region, we saw the biggest impact from commodities and energy costs, while we continue to invest in sales and marketing. Our decision to price at the start of the year the better on-trade mix and, in particular, the significant cost savings across our European operating companies, including the supply chain network transformation have all been a part of this achievement. Moving on to brand Heineken, leading our portfolio. The brand grew volume by 3.4%, excluding Russia, with 39 markets contributing to the growth. most notably in China, Brazil, Ethiopia, Indonesia and Taiwan. Heineken 0.0 grew by 5.7%, excluding Russia, further strengthening its leadership in the segment as the #1 nonalcoholic beer brands in the world. Heineken Silver is now in 50 markets with volume growth in the high 30s, led by China, Vietnam and USA. Heineken celebrated its 150th anniversary this year, and was the most awarded beer brand at the Cannes Lions Festival of Creativity with 20 Lions. I'm personally delighted with our new partnership with the 3x Formula 1 World Champion Max Verstappen, in the new global When You Drive Never Drink campaign to encourage consumers to make the right choice when it comes to selecting a designated driver on a night out. Moving to digital. We have been stepping up our investments in our digital transformation to build a future-ready Heineken, especially strengthening our digital route to consumer. In 2023, our e-B2B platforms captured close to €11 billion in gross merchandise value. We now connect with 700,000 active customers in fragmented traditional channels, a 28% increase versus last year. 9 out of our e-B2B operations in Europe were transitioned on to eazle this year, now capturing 83% of their net revenue from customers in the fragmented trade online. As we develop towards this meaningful scale in our key markets, we now move to unlock better features, improved customer experience and increased efficiency. For example, in France, over 12-week period, we piloted our new AI-powered product recommender, which suggests the right product to the right customer at the right time. Early feedback is very promising as the tool drove a 2% to 3% sales uplift. Meanwhile, in Mexico, our AI-driven digital adviser has supported our sales force with customer churn predictions en route optimizations amongst other features to improve productivity by 50% relative to 2019. And finally, Brew a Better World, our strategy to drive progress towards a net zero fairer and more balanced world. I'm proud of the progress across all 3 pillars. On the environmental pillar, we reduced by 34% of our total carbon emissions in Scopes 1 and 2. On the water front, Meoqui, our newest brewery in Mexico is leading with an outstanding 1.7 liter per liter performance in water efficiency. I'm proud to also infield today our new circularity strategy guided by the Ellen MacArthur Foundation's principles. Our ambition by 2030 is to have 43% or more of our volumes sold and reusable formats, to include 50% recycled content in our bottles and cans and to ensure that more than 90% of our portfolio is recyclable by design. On the social pillar, we have grown from 90% women in senior management in 2017 to 28% in '23. We're also proud that 100% of our direct employees earn at least a fair wage. On responsible consumption, we continue to make progress to make sure that 0 alcohol options are broadly available so consumers have always a choice. And with that, I would like to hand over to Harold.
Harold van den Broek: Thank you, Dolf, and good day to you all. Let me take you through our 2023 financial results, address a few specific topics and then close with our outlook for 2024. Starting with the EverGreen growth algorithm, which describes how we aim to deliver long-term value creation. As Dolf referred to at the top, first and foremost, growth. We drive our business towards superior and balanced growth, by which we mean volume and value growth. A growing business offers better opportunities to drive productivity. This in turn frees up resources for investment that fuel the next cycle of growth and that enables earnings expansion. On Slide 17, our top line growth. We posted an organic growth of €1.6 billion or 5.5%, reaching €30.3 billion net revenue beia. In the year, we took significant pricing to offset inflationary cost pressures. Net revenue per hectoliter increased by 10.8%, more pronounced in Africa, Middle East and in Europe. The underlying price mix on a constant geographic basis was 10.2% with a price component of 9.1%, broadly in line with the weighted average inflation of our markets. As inflation came off its peak in the second half of the year, price/mix growth slowed and in the fourth quarter landed at 7.6%. The mix component was consistent at 1%. Total consolidated volume on an organic basis was down 4.7%. In part, this was due to more subdued consumer demand in response to increased prices. The other parts related to Vietnam and Nigeria. These markets accounted for about half of the organic volume growth decline. Both markets experienced challenging economic conditions, which led to a respectively high single digits and mid-teens volume decline of the beer category. As Dolf showed, our total consolidated volume trend improved with the fourth quarter declining by 3.2%. Let me decompose this a bit further. Taking the Vietnam pretest season loading at the end of 2022 out of the base, our quarter 4 volume would be a low single-digit decline. And to be complete, outside of Vietnam and Nigeria, our quarter 4 volume momentum was roughly flat. Numbers are where they are, yet it might be a helpful perspective. Currency translation negatively impacted net revenue beia by €864 million, mainly from the devaluation of currencies in Africa, partially offset by a stronger Mexican peso. Consolidation effects helped by €887 million, mainly related to Distell. Moving on to the next slide. Operating profit beia came in at €4.4 billion, ahead of last year by 1.7% organically, with 3 out of the 4 regions delivering profit growth. Critical this year was to manage pricing to offset the high input cost and energy inflation, and most of our markets did that. On a per hectoliter basis, variable costs grew organically in the low teens, with significantly higher commodity and energy costs, partially mitigated by structural growth savings. This variable cost increase is lower than the mid-teens inflation we reported over the first half of '23. This was firstly as cost pressures turned less severe, mainly in transportation and energy. And secondly, we delivered strong growth savings in the second half, to which I will come back later. On a regional perspective, Asia Pacific ended the year down by €247 million or 20%, predominantly driven by the volume decline in Vietnam. To maintain competitiveness and due to the lean cost base, actions taken could only offset a small part of the impact. The Africa and Middle East region recorded operating profit organic growth of 2.8%, driven by strong cost and productivity initiatives, especially in Nigeria. In the Americas, higher cost of imports into the U.S. and investments in marketing and sales in Mexico, Brazil and the U.S.A. were more than compensated by significant productivity gains across the region. As a result, operating profit rose organically by 6.2%. In Europe, operating profit grew 11.9% versus last year, lifted by significant cost savings. Our operating profit margin beia was 14.7%, 100 basis points down compared to last year. About half was driven by organic performance and the other half from the dilutive effect from the consolidation impacts. Currency translation negatively impacted operating profit beia by €102 million or 2.3%. Our cost and productivity program delivered outstanding results. We delivered €800 million gross savings in the year. They drove the profit growth seen on the previous page as they more than compensated the impact of declining volumes, enabled the investments in marketing and sales and funded our digital transformation and sustainability initiatives. Our 4-year savings program announced that the start of EverGreen is now completed. Cumulatively, we achieved €2.5 billion of gross savings compared to the 2019 cost base, well ahead of our €2 billion target. Let me give you 2 highlights from 2023. We accelerated strategic procurement initiatives, such as in the Americas with near shoring and local sourcing, delivering over €240 million of gross savings. A good example is how we worked with strategic suppliers in Brazil to bring dedicated furnaces on stream for our local glass bottle demand, eliminating the need for imports. In Europe, our operating companies accelerated their supply network transformation and delivered more than €200 million in gross savings from portfolio streamlining, centralized production and transport planning, leveraging data-driven efficiency gains. We have now established a practice of continuous cost and productivity performance management and from here on will shift towards an annual growth savings objective. For 2024, we set €500 million as our target ahead of the €400 million ambition we communicated as ongoing for the next few years. Let me now turn to the other key financial beia metrics on Slide 20. Our share of profits from associates and joint ventures grew 4.3%, preliminary from CRB in China. Net interest expenses beia increased organically by 44.8% to €554 million, reflecting an increase in average net effective interest rate to 3.4% and a higher net debt position following the acquisition of Distell and the FEMSA share purchase. Other net financing expenses beia amounted to €343 million, an organic increase of €336 million, mainly driven by revaluations of foreign currency payable in key emerging markets. Let me get back to this item later. A second factor was the revaluation of long-term green energy contracts as prices retracted from the peak last year. Net profit beia declined by 4.3% organically to €2.63 billion. The effective tax rate beia was 26.8% compared to 28% in 2022. The lower rate is predominantly driven by a lower effective tax rate in Brazil. Given recent events, I will also come back to this topic a bit later. All in all, this resulted in an EPS decline to €4.67. In line with our dividend policy, we will propose at the AGM of this year, a stable dividend per share of €1.73. Finally, our net debt-to-EBITDA beia ratio was 2.4% -- 2.4x, just below the long-term target of below 2.5x. A word on our free operating cash flow. We recorded a cash flow of €1.8 billion, an improvement versus the first half of the year, yet €650 million below last year from higher CapEx, interest and income taxes paid. Cash flow from operations had a lower contribution of €46 million, driven by lower reported operating profit. The working capital movement was €334 million better than last year. This was mainly due to lower volumes with consequent reduction in payables that were more than offset by lower inventories and receivables. In the second half of the year, we saw a strong recovery of working capital, helped by concerted initiatives to increase capital productivity. Overall, CapEx was €2.7 billion, an increase of close to €600 million versus last year. Half is due to phasing of payables related to 2022 projects. The main incremental investments were for capacity expansions in Brazil, the optimization of our supply network in Europe and the consolidation effect of Distell. We also increased our sustainability investments. The CapEx represented 8.8% of net revenue beia within our guidance of 9%. Cash for interest, dividends and tax increased in aggregate by €355 million, mainly from higher income taxes paid, reflecting the higher profit base in 2022. Perhaps good to illustrate the impact of our newly formed Heineken beverages. Compared to beer, the Distell business model operates with significantly higher inventory levels. This explains about 1/3 of the reduction in our cash conversion ratio from 75% to 61% this year. Before I close with the outlook, let me draw your attention to 3 topics. First, the noncash impairment charge of Heineken Beverages in 2023. Whilst the impairment charge is meaningful, it represents circa 16% of the carrying amount of Heineken beverages. About 3/4 of the difference in enterprise value today versus the time of signing in November 2021 is caused by an increased weighted cost of capital, reflecting the higher South Africa country risk and cost of financing. We also experienced high inflationary pressures and invested in brand support to address a more challenging competitive environment. The impairment has been carried out on the goodwill and as such, is irreversible. Let me also state out right, like Dolf said, that this was and is a strong business with good prospects for us and for our partners. We're all committed to make Heineken Beverages a regional champion and to create significant long-term value for all stakeholders, and we're making solid progress. In September, we completed systems and sales force integration under a single route to consumer. Our synergy delivery is on track. With government support, steady progress on public interest commitments has been made, and as Dolf announced, we're excited about the introduction of returnable bottles for Heineken, a big step towards accelerating growth and profitability. A second topic is the evolution of our net finance expenses. In key markets with hard currency scarcity, we're experiencing foreign exchange volatility. To illustrate, last month, the naira depreciated by 35% relative to the euro when looking at the official spot rates, bringing the total devaluation to 70% versus January 2023. This leads to higher inflation in local materials and transactional currency costs on the imports that are hitting operating profit and an additional effect of noncash revaluation of outstanding foreign currency loans and payables impacting net profit beia. In 2023, this amounted to close to €200 million, and for 2024, we're expecting an impact of between 200 to 250 basis points based on today's rates. Finally, a word on the tax reforms in Brazil. There are 2 main new rulings, the taxation of interest on capital, which does not affect us. And secondly, the federal taxation on state incentives, which does. The taxation on these state incentives has a sizable impact given the significant investments in recent years. This change will impact our effective tax rate by about 200 basis points. Let me now finally turn to the outlook for 2024. As we continue to advance on our EverGreen journey, we remain committed to our medium-term ambition to deliver superior growth balanced between volume and value, and to drive continuous productivity improvements to fund investments behind EverGreen and enable operating profit to grow ahead of net revenue over time. Our volume performance over 2023 was hampered by external factors with a moderate sequential improvement quarter-by-quarter. For 2024, we expect the macroeconomic environment and geopolitical developments to remain a factor of uncertainty that may impact our business. In this context, our focus will be on restoring our volume growth by continuing to invest behind our brands, innovation, commercial capabilities and route to consumer. We expect our variable cost to increase by a low single digit on a per hectoliter basis benefiting from lower commodity and energy prices, but more than offset by local input cost inflation and currency devaluations, particularly in Africa. This is higher than what we were expecting in December. We also expect higher-than-historical average wage inflation. Our productivity program will deliver at least €500 million of gross savings ahead of our medium-term commitment of €400 million, enabling investments behind our growth agenda and our other EverGreen priorities. Overall, we expect to grow operating profit beia organically in the range of a low to high single digit. This wide range corresponds to the volatility in geopolitical and economic conditions. We have also witnessed in the past months and the fact that we will continue to invest behind EverGreen for long-term sustained value creation. We also expect net profit beia organic growth to be lower than the operating profit beia organic growth, mainly driven by the impacts I just spoke about on the previous page. I would now like to hand it back to Dolf.
Dolf van den Brink: Yes. Thank you, Harold. I think for me summarizing after a strong 2021 and a strong 2022 where we had good growth momentum, '23 was clearly a pause. Nevertheless, we are proud of how the team has navigated this challenging context, and particularly how we have mitigated its impact by securing operating profit growth. But it goes without saying that we're incredibly motivated to get back on track and to restore that growth momentum in '24 and beyond. And on that, let's open for questions and answers.
Operator: [Operator Instructions] Our first question today comes from [indiscernible] of BNP Paribas.
Unidentified Analyst: My question is on marketing and selling expenses. Looks like they fell to 9.1% of sales. I'm just wondering if you could give us some color on where it was you pulled back a little bit in the second half and how we should think about that going into 2024 and beyond?
Dolf van den Brink: Yes, very good, Jim. And I'm happy that, that's the first question. Because in the end, it is all about restoring growth momentum and marketing and selling investments are one of our top priorities. So last year, we -- under challenging circumstances, I'm happy that we're able to grow our marketing and selling expenses in absolute terms. As a percentage of revenue, it went somewhat back. For sure, we didn't spend the original budget as we were dealing with some of the setbacks in volume, because in absolute terms, marketing and selling went up. And particularly, we protected -- slightly grew our marketing and selling budget in Europe, to really make sure that we keep investing in the brand power to support the pricing that we have been taking. And there was a big step-up in marketing and selling in the Americas region in the U.S. market, Mexico and in Brazil. For 2024, we are planning a relative large step up, not just in absolute terms, but also as a percentage of revenue as our #1 priority is to continue to improve our growth momentum this year and beyond.
Operator: Our next question comes from Simon Hales of Citi.
Simon Hales: My first question is just around the organic EBIT growth guidance you've given out there. Clearly, there's a wider range than normal. I just wonder if you could just talk about maybe some of the scenarios you're considering that drive you either to the bottom end or the upper end of that range, so we can just understand some of the potential moving parts there. And then secondly, a number of your peers like Carlsberg and [indiscernible] have indicated recently that they expect over the medium term to see gross margins recover back to pre-COVID and certainly pre the recent out of COGS inflation level. Is that something that you think you can achieve at Heineken as well? Or are there some structural issues that you think that may make that more challenging for you to deliver?
Harold van den Broek: Thanks, Simon, both very good and very relevant questions. I think we were -- to start with the first one, which is the wider range. I think we were quite explicit in the outlook statement that the wider range is more driven by external factors than the internal factors that we can control. And very often, you will have heard us speak about control the controllables, and that's exactly what we're trying to do. So still, nonetheless, answering your question. So what we see on the positive, we are encouraged by the quarter-by-quarter improvement of our volumes and increasingly the number of markets that we see in positive volume growth. We also believe that the fundamentals of our business are solid. We've seen the growth of brand Heineken. We've seen the continuation of our premium portfolio. You see the progress that we're making on digital route to consumer, but also on our growth savings. So the underlying fundamentals are solid. And these are some of the factors that we want to control and can control that should help. At the same time, we are looking at a number of externalities that could make us drift to the upside. Firstly, is the Vietnam and Nigeria market recovery. And this should really be helped by macroeconomic positive momentums. Secondly, we know that in 2023, the summer weather in Europe was particularly subdued and we have the impact of major sporting events that may actually help us. The third element is wage inflation that is coming in across the markets that potentially could stimulate on-trade recovery or in general category growth. And fourthly, as Dolf just commented, our priority is really to restore growth and put budget behind this. This is on the positive. But on the negative, we do believe that macroeconomic challenges will continue to surprise us and that we also have to be realistic in the range of caution. We've just seen the Gaza war partially blocking the Red Sea. And we've also seen on the negative, the Nigerian currency default no less than 2 weeks ago. And that will have an impact on inflation and potentially consumption. So it's very important, Simon, to differentiate between the controllables and the ones that are outside of our control. Then on to your second question, the gross margin recovery. We do believe that with a more benign inflationary environment, and the fact that we are starting to learn that revenue and margin growth and pricing and portfolio mix is an important capability to develop that we are focusing on that gross margin recovery. But what we're also seeing is that it's too early to call. So at this moment in time, it would be more of a statement of intent rather than a firm commitment to that ambition.
Operator: Our next question comes from Edward Mundy of Jefferies.
Edward Mundy: Two questions, please. The first is, it's -- sometimes it's quite hard to get a feel for some of the changes within the business given some of these external pressures that you've highlighted. I mean, Dolf, when you take a step back, what do you think are the biggest milestones that you've passed in 2023? And what does that mean for the EverGreen strategy? And then, Harold, in the statement, you say you've established a practice of continued cost and productivity management. With the foundation of stronger capital governance, could you perhaps elaborate on those too? And then the second question is on other financial items. It looks like there's about a €600 million swing in the income statement, but about €100 million swing in the cash flow. Could you confirm that a lot of these items are noncash? And you've clearly guided for higher other financial items since 2024, given the naira devaluation, but assuming no further devaluation into 2025, do these items go away? Or do they remain sticky?
Dolf van den Brink: So I will take that first question on the key milestones. A couple of things come to mind, Ed. I really believe that this extraordinary bubble of input cost inflation triggered by the war in Ukraine is now mostly behind us. And I'm proud of how the organization has navigated this. I'm sure you have seen the operating profit growth coming out of Europe, which seem to be a surprise to some. It's pretty extraordinary that we were able to generate double-digit operating profit growth while swallowing a will of inflation by a combination of pricing as well as huge productivity gains across Europe, in a region that historically was not very forthcoming on this kind of productivity gains. So that is one. I really believe the worst is behind us in Europe. And with what Harold was saying with wage inflation now being ahead of overall inflation restoring disposable incomes to weather the sport defense that makes us more positive. I think also both the integration of UBL India over the last 2 years as well as Distell last year was quite complex. These are not easy markets to operate in. India goes without saying. Distell, which, in essence, was a reverse integration. And there, I think for both markets, a lot of the heavy lifting has been done. We are getting really on track with the synergy delivery. And I also think the kind of operational disruption caused by integration is behind us. And you see it's clearly in India, where in the second half of the year, we saw growth really starting to come through with high single-digit volume growth. Thirdly, through all the twists and turns the underlying fundamental growth engines of our company keep on turning well. Premium beer. Premium beer consistently outgrowing total portfolio. Premium beer outpacing total portfolio in the majority of markets. Brand Heineken once again up double-digit up in 20 countries, in 40 markets up overall. So this is broad-based, low in [indiscernible] up mid-single digits. We are in absolute relative terms, the global market leader in 0.0 beer. Heineken 0.0 is the largest brand and was up. Some other important global brands were up in absolute volume like Amstel and Moretti. So these fundamental growth engines are in the right place, and I really feel with some of these negative externalities being processed and behind us with the fundamental growth engines in a good place. It does make us feel that we have turned a corner. Now at the same time, building on what Harold said, we also learned our lesson. The world is a volatile place. We have a very broad global footprint also in less stable market. So we do need to remain cautious, but we do believe that growth and volume growth will restore in this new year. Harold, over to you on the second one.
Harold van den Broek: Yes. So let me take the third one first, Ed, because I'm not sure I fully heard your question on cost. But indeed, to your point about the change versus the other financial metrics and the cash flow statement is that part of this naira devaluation is indeed a noncash revaluation item. And what we know is that currently, the inofficial rate and the formal rate are very close together and that the devaluation has just happened. So if that situation persists going forward, you will not see this impact in the outer years and possibly even revert, but that's, to be honest, not for us to say. We will see how that evolves. But it's an important piece of context. And then, could you please repeat your question on cost?
Edward Mundy: Yes, sure. So in the release, you talked about obviously practices of continued cost and productivity management and the foundations of stronger capital government. Can you also talk about some of the changes from the productivity and cash side of things that you've implemented in 2023?
Harold van den Broek: Yes. So what you will have seen is that, for example, in Europe, with the change in our supply network transformation, we're putting much better forecasting capabilities above operating company level. And that we're able to manage demand volatility across markets much better at this moment in time, and that has led to a fundamental yes, stock reduction that we've been able to generate. We also are putting that capability in place in some other markets, for example, in Latin America. So that is one of those examples. The second one is, of course, with that same insight and agility that we have, you are also much more closely connected in terms of procurement to demand and also that is cutting out quite some significant opportunity in working capital management. Last, it's very good that our teams are starting to pay more attention to payment terms and precision payments, if you like, as well as data collection and that was a very good call to action as well in the second half of the year. So we're putting structural capital disciplines in place in order to maintain that behavior.
Operator: The next question comes from Olivier Nicolai of Goldman Sachs.
Olivier Nicolai: Just 2 questions on my side. With your net debt EBITDA now being at 2.4x, so below your targets, what is holding back Heineken from initiating a share buyback in 2024? And just a follow-up on the previous question. Some of your peers have been much more optimistic about the volume growth outlook in Europe in 2024, flagging effectively the easy comps and also some sporting events, but also the consumer doing a bit better there. Is it fair to assume that you are also sharing that optimism for 2024 about volume growth in Europe, and that's kind of included in your guidance and not only at the top end of your guidance?
Harold van den Broek: Let me take the first one and be relatively brief about it. So we're very pleased that we're staying to within our 2.5x range. And we've previously also said that we follow quite strict capital allocation principles. First and foremost, we will invest behind the organic growth of our business. We also are very strict about our net debt and financial guidance that we put in our financial policy. We like our dividend policy, so we want to maintain that. And only when we have something outside that is very attractive, we will acquire businesses. And last but not least, and only then will we apply capital to the share buyback. But that's the sequence of priorities that we will follow. And at this moment in time, yes, there's nothing much further to say about that.
Dolf van den Brink: Thanks for your question, Olivier. And on volumes, I think what's wise is to be balanced. We are absolutely aiming for volume growth. We do believe that 2024 will be materially different in Europe compared to last year, but we have also seen the sensitivity to weather and those kind of things. So let's just see how that plays out. We've also seen that the impacts of 1 or 2 concentrated markets can have on our total volume outlook at just 2 markets, Nigeria, Vietnam, almost representing the full global decline in the fourth quarter. And I think we are deliberately being cautious on Nigeria and Vietnam to hopefully have upside risk rather than downside risk. So we're not counting on big swing back yet, in Nigeria and Vietnam. Again, we want to minimize downside risk and we want to optimize upside risk. And mind you also, 2 of our most important markets, actually the 2 biggest markets globally, Mexico and Brazil, where we were doing very well, where we're generating double-digit profit growth. Both markets we are generating market share growth, but the markets are relatively flat. So I think we only would gain in confidence on our global volume outlook to more bullish when these kind of big markets would really resume strong growth, which is what we don't see yet. They are not bad, but they're more stable than they're very growthy in volume. So deliberately being balanced, and airing a bit on the side of generating upside risk and avoiding downside risk, Olivier.
Operator: The next question is from Mitch Collett of Deutsche Bank.
Mitch Collett: Since EverGreen began, you've delivered cumulative cost savings of €2.5 billion. And over the same time period, you've had cumulative organic operating profit growth of 16%, which I think is roughly €700 million of profit growth. I appreciate that it's been a period of unique challenges. And also that EverGreen is about more than just cutting costs. There's obviously an element of reinvestment. But can you perhaps help us bridge the gap between that cost-saving number and the level of profit growth? And then as a follow-on to that, how should we think about the reinvestment of cost savings going forward?
Harold van den Broek: Thanks, Mitch. I fully understand. So just to remind everyone, when this journey began, we were in the middle of COVID and that growth savings initiative was really, really important to start EverGreen but also mitigate all of the volume shortfalls and the implications of COVID. After that, we had situations of supply crisis and high levels of inflation, which led to the volume deleverage that we were just talking about of 4.7%. So I'm super proud of this organization. That was not an acquired strength before that year-on-year, we're now starting to build a cost muscle that will help us navigate the volatility that we've seen. Now if you exclude that high level of inflation, I'm now looking backwards, and I'm also excluding the volume deleverage for a second, to answer your question, you will have seen that the reinvestment rate that we look at carefully is about 30%. Now the delta between the 2 is for the reasons that I just called out. But that is the number that we are thinking about. And therefore, going forward, I don't want to pin us on a number because ultimately, the first priority is to recover growth and market share competitiveness, and we see the growth savings going forward, like that €500 million as a very important instrument to achieve that. But think about reinvestment rates, historically, that has been 30%. But if the opportunity is there, we will deploy more behind growth. What is also important to say, Mitch, is that you heard me say about that is that over time, we believe that operating leverage really needs to be part of the equation as well. And our growth savings muscle will help us achieve that.
Operator: The next question is from Celine Pannuti of JPMorgan.
Celine Pannuti: My first question is on the cost side. So your guidance for low single-digit cost inflation. Can you talk about how that splits from a regional standpoint? And Harold, I think you mentioned that there were a local costs since December. Can you talk about that? I think the follow-up question on that is on, Dolf, you were a bit more cautious, I felt on the interview this morning about pricing -- incremental pricing in developed markets. So can you talk about that with regard to Europe? Does that mean that in an environment of lower cost, you will not seek to raise prices in Europe? And could you as well talk about the competition set up from a pricing standpoint in Mexico and Brazil?
Dolf van den Brink: Yes. Maybe I'll start with those latter 2 and then Harold on the variable cost and COGS. Yes, we have been leading the pricing as a market leader in Europe last year and the prior year, actually, and it has had an impact on our volumes. As I said before, I really believe that huge bubble in input cost inflation in Europe is now behind us. On the fixed cost, particularly salaries, we see big increases in Europe. So it's not all smooth sailing but net-net, we need very little pricing in Europe in our plans. We basically have concluded, I would say 90% plus of our negotiations on price for 2024. We have not been having any issues in terms of delistings or whatsoever. It has been relatively collaborative. We are getting the pricing that we need, and we believe it also really sets us up to restore competitiveness and affordability where needed. And as such, yes, I think we're laying the right foundation in Europe. Now that pricing comment, it's really important to differentiate indeed between markets in the more developed part of the world where inflation is coming down very rapidly, versus markets like in Africa, where there's still a lot of local inflation and big devaluations due to macroeconomic vulnerabilities, which is driving a consistent increase on the input cost. But Harold can comment on that in more detail. In Mexico and Brazil, I think those are 2 very competitive markets. We have been competing vigorously over the years. And I think we feel pretty comfortable where we are. We gained market share in both Brazil and Mexico. We grew double-digit profit growth in both markets. And very importantly, for the first time in a long time, we won't have a negative cycle because of OXXO mixing. So this year will be the first clean year past a 4-year period where we basically lost almost 1 million hectoliter every year due to OXXO mixing. So we feel pretty good about the setup. It's more that we really would love to see markets growth to start coming back in these 2 big markets for us. And we are positive on that, but it may take still a bit of time. Harold over to you.
Harold van den Broek: So let me start with where I left it in December, which is at that moment in time, we signaled about flat variable COGS compared to this year. And that was a decomposition between global commodity costs where you see global commodities really softening like aluminum, like barley, they are coming off their recent peaks. I always put a reminder also there that they're far from the lows that we saw in 2019, but they are in a more deflationary environment, and that is benefiting us. At the other hand, what we have seen is local cost inflation, like, for example, local transport or rise in Vietnam or sorghum in -- or sugar in Africa that was counterbalancing that, which, in aggregate, brought that to flat. That also tells you where the regional views are. We do see a slightly lower input cost in Europe and in the Americas. But in the emerging markets, we see some elevation of input cost. Now what has changed versus December really is the devaluations that we were just talking about again. So both in terms of foreign exchange and the consequence of that on imported inflation because much is denominated in hard currency is driving up that average input cost inflation to the low single digits that we just called out, and that's predominantly Africa.
Operator: The next question in queue will be Carlos Laboy of HSBC.
Carlos Laboy: Yes. Can you speak to the prospect of Brazil sustaining strong growth here on the back of maybe some of the efficiency gains given the comments you've made on a flattish industry in Brazil?
Harold van den Broek: Yes. Carlos, let me start and Dolf can comment on. So yes, our Brazilian business continues to sustain growth in what has been according to external data, a slightly positive market. So it's not like the market volume was really accelerating. And that is driven by continued growth of brand Heineken in the teams and brand Amstel that is now turning in historical point of 10 million hectoliters, growing by the 30s. Now we do believe that the underlying brand fundamentals in terms of brand power, but also distribution are really putting ourselves up for continued success. And therefore, we believe that we can sustain that growth in Brazil. What is also important, and this was, of course, extremely intentional and deliberate is that all of these costs and growth savings initiatives that we've been talking about allow us to continue to drive the growth in momentum. And that's why Dolf was talking about the investment in selective markets in order to continue that flywheel, and Brazil is certainly a case in point in that one.
Dolf van den Brink: Yes. I think you said it all. In a way, Brazil is kind of the best expression of our aspirations, where you see it's driven by strong brand propositions, good mix between premium and mainstream, strong route to market, and you really start to see a compound that's now starting to drive accelerated operating profit growth, and Mexico being in a very good place as well. And what we're trying to do with, for example, India now or the integrated business that we're building in South Africa, the scale that Ethiopia started to get to is to really make sure that we go to a wider set of big markets with big population with good underlying demographics that follow a similar trajectory. And that's where a lot of the investments will be going to in the near and midterm, I would say. Thanks, Carlos. I think we are, yes, already at the top of hours. Thanks, everybody. If you have any further questions, you know Federico and team were to find them. And wish you all a wonderful day. Take care. Bye-bye.